Operator: Welcome to the MasTec’s First Quarter 2014 Earnings Conference Call, initially broadcast May 2, 2014. Let me remind participants that today’s call is being recorded. At this time, I’d like to turn the call over to Mr. Marc Lewis, MasTec’s Vice President of Investor Relations. Marc?
Marc Lewis: Thank you, Wayne. Good morning, everyone. Welcome to MasTec’s first quarter 2014 earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make several statements that are forward-looking, such as statements regarding MasTec’s future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today’s remarks by management, we will be discussing continuing operations adjusted financial metrics as discussed and reconciled in yesterday’s press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release, our 10-Q, our 10-K or in the Investor and News sections of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and George Pita, our Executive VP and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose, followed by financial review from George. These discussions will be followed by a Q&A period. And we expect the call to last about 60 minutes. We have a lot of good things to talk about today. So, I’d now like to turn the call over to Jose. Jose?
Jose Mas: Thanks Marc. Good morning and welcome to MasTec’s 2014 first quarter call. Today, I will be reviewing our first quarter results, as well as providing my outlook for the markets we serve. First, some first quarter highlights. Revenue for the quarter was $964 million, a 5% increase over the prior year’s first quarter. EBITDA was $75 million and earnings per share were $0.21. In summary, we had a solid quarter considering the significant challenges we faced relating to weather. Both revenues and margins were impacted as we were able to complete less work and on many projects, the work we were able to perform had productivity and cleanup issues. That being said, we performed well and more importantly, the outlook and demand for our services is excellent. Over the last couple of years, we have made significant investments in both people and equipment to position us to take advantage of the growing opportunities in our oil and gas transmission and wireless markets. While these have been our main growth drivers and we expect that to continue, we are seeing an improving landscape for the balance of our business. Our power generation group is experiencing a solid uptick in wind related business. Our installation business is experiencing strong growth in our security initiatives and since our last call only two months ago, there has been a significant amount of additional announcements by a number of carriers related to 1 gigabit high speed connectivity for residential customers. The fiber deployment required for that initiative is a significant opportunity MasTec. Now I would like to cover some industry specifics. Our communications revenue for the quarter was $447 million versus $425 million last year. This was driven by a 27% increase in our wireless business, offset by decline in both our installation business and our wireline business. Weather impacted both revenue growth and margins in all three of our communications markets. Our install of a home revenue was down 9% year-over-year. We have significant exposure to the Northeast in this business and weather negatively impacted revenues. We expect revenue growth in this business, in the second quarter and for the balance of the year, we made a small acquisition, subsequent to quarter end of a company called Speed Wire. Speed Wire is a broadband and security installation company, that was also a leading digitalize installation contractor. With our combined resources, we are now providing security services in 72 markets, from 28 markets last quarter. We expect security revenues to approach $100 million in 2015. We believe security is a natural extension of our capabilities, and we are bullish on its long-term prospects. Security coupled with in-home automation and energy’s efficiency is a fragmented market, our national region scale gives us a strong competitive advantage, while wireline revenues for the quarter were down year-over-year, future prospects for that business are as good as we have seen in a long time. As a reminder, the wireline business is where MasTec, actually began. Recent announcements from multiple carriers about 1 gigabit speeds to residential customers will require a significant fiber expansion. Our history, experience and geographic coverage make this a sizable opportunity for us, while we don’t expect significant revenues in 2014 related to 1 gigabit projects, we believe the revenue opportunity for 2015 and later will be significant in size and in scope. Our wireless revenue was up 27% in the first quarter compared to last year’s first quarter. We are benefiting from significant investments in our customers’ networks. Technology enhancements like LTE, DAS and small cells coupled with network densification creates growing opportunities for our business both for short and long-term growth. We have invested, and will continue to invest in the opening of new training facilities, the hiring and training of personnel, and the equipment and systems necessary to provide our customers with the resources they will need to complete their deployments and their growing maintenance needs in a cost effective, timely and safe manner. Having these resources will be a key to the continued growth in our wireless business. As we announced in our last call, we were recently awarded a contract to provide dedicated crews to our largest customer. That contract requires us to provide 212 crews by year-end. We are in the process of ramping and while short-term this aggressive ramp will pressure margins longer-term we’re very bullish on our ability to deliver strong revenue growth, with improving margins. Subsequent to quarter end we were also awarded a contract to provide dedicated crews in support of our second largest wireless customer, while this award has taken longer than expected and work for 2014 will start slightly later than we were expecting. This is a significant step in our ability to continue to diversify our wireless customer base. Revenue in our electrical transmission business was $80 million versus $85 million in last year’s first quarter. We had a number of large wins and in 2013, we were actually awarded one of the largest EPC contracts in the nation and the largest in our history. That project is beginning to ramp and we’ll lead to solid revenue growth for the balance of the year. Subsequent to quarter end, we were awarded the first major EPC substation project from the new Berkshire Hathaway energy which was formerly known as MidAmerican Energy Holdings Company. This is a significant award, because it demonstrates the continued confidences that Berkshire Hathaway Energy has in our transmission and substation team. We continue to see a very strong bidding environment and we are confident in our ability to continue to deliver strong growth in this segment. Moving to our Power Generation and Industrial segment. Revenue was is $54 million in the first quarter versus $89 million in the prior year. EBITDA margin for this segment was slightly positive and a big improvement on a sequential basis. We are expecting a much improved 2014 and 2015. We expect revenues in 2014 to be approximately $400 million with EBITDA margins returning the 2012 levels. This implies an EBITDA swing of about $35 million for 2014. Not included in quarter end backlog is about $200 million in projects verbally awarded a number of which we are already working under a limited notice to proceed. Our oil and gas pipeline segment had revenues of $380 million for the first quarter compared to revenues of $319 million in last year’s first quarter. EBITDA margin for this segment was 9.2% versus 13.3% in last year’s first quarter, again result were impacted by weather. Our outlook for this market remains very bullish as planned project activity for 2015 through 2018 far exceeds what we have seen in the past. With an increased number of planned U.S. pipelines a market in Canada, it is accelerating in probably the year or two behind the U.S. in terms of activity and the Mexican market that is going to see an unprecedented expansion of pipeline construction. The activity levels in North America create a perfect opportunity for us to enjoy strong growth rates well into the future. For the second quarter we expect strong revenue growth and EBITDA margins consistent with our full year outlook. Keep in mind in the second quarter of last year oil and gas segment margins exceeded 17% due to mix and close outs making this next quarter a difficult comparison with respect to margins. We would like to highlight two projects awarded to us during the first quarter; the first was a 160 mile portion of the Cactus pipeline in Texas. The second project is a 24 inch pipeline that crosses the real grand in the Mexico. While not material in revenues, we believe this is an example of what will be a growing trend as Mexico’s demand for U.S. natural resources continues to increase. Overall we expect demand to challenge capacity in this segment and create opportunities for both increased utilization and improved pricing. To recap we are off to a good start. We have got strong backlog to support what we believe will be another record year of revenue and earnings. We are investing in our business for both short and long term growth. And quite frankly we have never had the number or the quality of the opportunities we are now enjoying. I would now like to turn the call over to our CFO, George Pita for our financial review. George?
George Pita:  Thanks Jose, and good morning, everyone. Today I will cover first quarter financial results as well as Q2 and full year guidance. I will also cover our cash flow, liquidity and capital structure. As in our previous calls, when we discussed our financial results and guidance, we’ll be discussing non-GAAP, continuing operations, adjusted earnings and EBITDA. Full reconciliations from GAAP results to adjusted results are included in our Form 10-Q and press release tables. Consistent with prior quarters and for comparative purposes, our continuing operations adjusted results exclude the first quarter 2013 loss on extinguishment of debt related to refinancing our senior notes due 2017; the final Sintel Spanish litigation charge recorded in 2013; and they also exclude non-cash stock-based compensation expense for all periods. Before I get into detailed remarks, let me share a quick overview of our Q1 results and current 2014 expectations. As mentioned on the year end call and as I’m sure, many of you are well aware, we experienced typical winter weather disruptions during January and February of 2014, which were broad-based across the majority of the U.S. and impacted profitability across all our segments. In our master service agreement or MSA businesses, these disruptions delayed revenue and billing milestone achievement as the signed work was delayed. In our non-MSA or project based businesses, disruptions impacted our ability to be on site at many jobs, our ability to start-up new jobs, our productivity when on site and our change order processing and billing milestones. First quarter 2014 results were in line with our expectations given the adverse weather conditions. We expect improved performance in the second quarter as we work to normalize Q1 weather impacts as well as a strong second half of 2014. And today we are reaffirming our full year continuing operations adjusted EBITDA and net income guidance ranges. Now, let me cover some detail regarding first quarter performance. First quarter 2014 revenue was $964 million, up $45 million or 5% from last year, despite being negatively impacted by winter weather disruptions. Highlights include a 19% growth in our oil and gas segment and a 5% increase in our communications segment, driven by 27% increase in wireless projects. Also of note, we had a $35 million year-over-year revenue decline in our power generation segment, which was expected due to a tough quarterly comparison. As last year, we had several commercial industrial projects in process. And in 2014, the majority of the work in this segment will be related to wind renewable energy projects. And these projects don’t typically startup until summer. As Jose already mentioned, despite this revenue decline, the power generation segment reported positive EBITDA in Q1. And we continue to forecast significant year-over-year 2014 EBITDA improvement in this segment. First quarter cost of revenue excluding depreciation and amortization as a percentage of revenue increased 100 basis points at 87.2% of revenue compared to 86.2% last year. And that’s as a result of the previously mentioned winter weather disruption impacts on our project profitability. Depreciation and amortization expense was flat compared to last year at 3.5% of revenue. First quarter GAAP general and administrative expenses including non-cash stock compensation as a percentage of revenue increased by 20 basis points to 5.5% of revenue compared to 5.3% last year. Non-cash stock compensation caused a year-over-year 10 basis point increase in GAAP general and administrative expense. First quarter continuing operations adjusted EBITDA was $75 million, compared to $81 million in 2013. On a rate basis, first quarter continuing operations adjusted EBITDA margin was 7.8% compared to 8.9% last year. And these results were obviously impacted by winter weather disruptions. Highlights during the quarter include positive results in the power generation segment which is the first time in the past 5 quarters. And as we previously indicated, we expect increasing levels of EBITDA for this segment during the balance of 2014 as wind project activity commences in the summer. Interest expense during the quarter was $12 million compared to $10 million last year. And as a reminder, first quarter 2014 results include a full quarter of interest expense related to the $400 million in senior notes issued late in Q1 of 2013, while Q1 2013 only had interest expense associated with these notes for approximately two weeks. Thus interest comparisons are a bit of apples and oranges for this quarter. First quarter continuing operations adjusted diluted earnings per share were $0.21 compared to $0.29 a year ago, again including the impacts of the weather disruptions as well as interest expenses -- higher interest expense compared to prior year. Now let me discuss a summary of our top 10 largest customers for the first quarter as a percentage of revenue. AT&T was 22%; Enbridge was 14%; DIRECTV was 14%; Duke Energy was 5%; Energy Transfer Company was 5%; MidAmerican Energy was 4%; and ATCO Group, BHP Billiton, Starwood Energy and Talisman Energy were each at 2% of total revenue. As a reminder, our revenue is split between one-time individual construction projects and what we call master service agreements and other similar contracts for generally recurring services and therefore, recurring revenues. For Q1, 53% of our revenue came from master service agreements or other similar contracts and 47% came from one-time individual construction projects. Also, it should be noted that with many of our customers, we do significant number of repeat follow-on individual projects. I’d like to highlight that as even though our one-time individual project revenue is growing, we do enjoy very large and stable revenue base from master service agreements. At quarter-end, our 18 month backlog from continuing operations was approximately $4.2 billion, up approximately $91 million on a sequential basis over Q4. The comparable number from Q1 last year was $3.5 billion, so year-over-year backlog growth approximated 22%. As we stated number of times, be careful not to over analyze changes in quarter-end backlog numbers. Backlog numbers can be lumpy and bounce around some and we do not believe the 90 day swings in backlog are necessarily indicative of the longer-term trends in the overall business or in each of our segments. Please keep in mind that the timing of backlog amounts can fluctuate just due to the timing of when contracts get signed. We do not count contracts signed after quarter end in our reported backlog. And of course, we do not count verbal assurances. Also, especially in oil and gas, we have significant amounts of book and burn work. And therefore, our backlog amounts in that segment are not really indicative of future revenue. Lastly, please note that our backlog numbers are for only 18 months into the future. And that means that some significant and longer duration projects may not fully be reflected in backlog as well as our master service agreement work is only reflected on 18 months period even if the master service agreement contract runs beyond that 18 month timeframe. Now let me talk about our cash flow, liquidity and capital structure. Liquidity at March 31 calculated as cash for plus availability on our bank credit line was $496 million compared to $585 million at year end. We have a $750 million credit facility, which under certain circumstances we can upsize to $1 billion. We believe that our capital structure is well position to support multiple futures organic and other growth opportunities in 2014 and beyond. Regarding our capital structure at quarter end, we had $1.37 billion in total equity, $885 million in net debt and all of our credit ratios are in great shape. In April both Moody’s and S&P reaffirmed our current debt ratings with stable outlooks. Our Q1 accounts receivable day sales outstanding for DSOs where 101 days compared to 80 days for Q4 a 21 day increase. DSOs at the end of our first quarter were abnormally high as winter weather disruptions delayed our ability to reach building milestones on multiple jobs. In addition, first quarter DSOs were also impacted by higher than normal level of change orders that were in process of resolution, which increased approximately $84 million over year-end levels. The majority of this increase was due to large pipeline project, which amount have been agreed to in principle subsequent to quarter end. Resolution of this amount was delayed, as harsh weather and other factors delayed completion and testing of our pipeline segment and change orders could not be resolved until completion and testing was reached. Accordingly, we expect to see reduced level of DSOs by the end of our second quarter and continue with the expectation that DSOs should normally range between the high 70s to mid to high 80s, which generally puts us lower than our peers. That said, remember that as a single point calculation, DSOs can bounce around based on individual big project payment terms and a timing of job start-ups and job close outs. Regarding our spending on capital equipment, first quarter cash CapEx, net of disposals was $32 million and we added approximately $14 million in capital leases and other financed equipment purchases for a total CapEx spend, net of disposals of $46 million. These levels are generally in line with our previously stated CapEx guidance $190 million to $200 million, comprised of approximately 50%, cash CapEx and 50% capital leases or equipment financing. Moving on to our 2014 full year guidance, we have slightly raised our current annual revenue estimate to $4.7 billion to $4.8 billion, while reaffirming continuing operations, adjusted EBITDA of $520 million to $525 million and continuing operations adjusted diluted earnings per share of $2.27 to $2.30. The 2014 revenue estimate represents an 8.7% to 11% increase over 2013, with a 16% to 17% increase in continuing operations adjusted EBITDA and a 20% to 21% increase in continuing operations adjusted earnings per share. Implicit in this guidance, the 50 to 70 basis point improvement in our 2014 continuing operations adjusted EBITDA margins to 10.9% of revenue -- 10.9% to 11.1% of revenue compared to 10.4% in 2013. A significant driver of adjusted EBITDA margin rate expansion target in ‘14 is the expectation of strong second half results inclusive of the strong turnaround in the power generation segment as wind activity escalates. Our 2014 full year guidance assumes a tax rate of about 38%, we expect 2014 interest expense levels to approximate 2013 levels at about $46.5 million reflecting a full year of interest carrying cost on the 400 million senior unsecured notes issue early in 2013. With interest expense decreasing in the back half of 2014, as the convertible notes mature and we take advantage of the interest rate arbitrage of refinancing these notes with cash flow and our revolver. We currently expect 2014 depreciation and amortization expense will approximate 2013 levels on a rate basis. Our estimate for full year share count for diluted EPS is about 87.3 million shares and 87.4 million for Q2. Remember that our share count for EPS purposes can fluctuate up and down with our stock price. Because of the accounting for our 215 million in convertible notes. Approximately 115 million of the convertible notes mature in June, of which 105 million principal value of these notes will be settled in cash with the balance sold in shares. We also have 100 million of convertible notes maturing in December, which can be sold at MasTec’s option in either all cash, all stock or combination of cash and stock. We’ve accounted for all convertible notes based on the intent that we will retire the principal amount of these notes in cash and will issue shares for the premium value of the conversion feature of the notes. Accordingly, we’ve included shares anticipated to be issued to retire the premium value of these notes in our weighted average share calculation as of Q1 and therefore the maturity of these notes are not expected to have any significant dilutive effect to projected 2014 earnings per share. We will however continue to evaluate our options for the settlement of the notes due in December, based on our stock price, and potential uses of cash for CapEx and in any M&A transactions.  Given the expected strong cash flow in 2014, coupled with our ample liquidity position we expect that we can easily repay the principle amounts on all convertible notes, utilizing 2014 expected cash flow and our existing revolver, which assuming the continuation of current interest rates would result in lower overall interest expense levels in the back half of 2014. We currently estimate Q2 revenue in the range of $1.150 billion, to $1.2 billion an increase range in between 18% to 23% over last year. We estimate continuing operations adjusted EBITDA of $124 million compared to $110 million during the second quarter of last year. On a rate basis this equates to a range of 10.3% to 10.8% compared to 11.2% last year. With this decrease primarily due to a tough rate comparison in our oil and gas segment from last year, we benefited from some project close outs. Lastly, we’re expecting Q2 continuing operations adjusted earnings per share at $0.53. Our guidance reflects our normal seasonality as well as some anticipated revenue acceleration as we make up some of the first quarter delays. Based on our first half year guidance, if you do the math that means that broadly speaking, we expect strong EBITDA margin growth approximately 170 basis points in the back half of 2014 and this is driven by expected margin rate improvements in our Power Generation segment as wind project activity hit the stride, coupled with incremental margin rate improvement in all our other segments. In summary, 2014 start out as expected. However with the bad weather behind us now, we are well position in multiple growing markets and expect 2014 will be another record year. That concludes my remarks and now I’ll turn the call over back to the operator for any questions and answers. Operator?
Operator: Thank you. (Operator Instructions). Our first question comes from Andrew Kaplowitz of Barclays.
Andrew Kaplowitz - Barclays Capital: Good morning, guys.
Jose Mas: Hey, good morning Andy.
Andrew Kaplowitz - Barclays Capital: Good morning. So Jose, you have been pretty careful to speak at least somewhat generically about the wireline fiber opportunity, but given the conversations you have had with your customers and the increased chatter, really just over the last couple of months, what is your confidence level that you could see a significant ramp-up in revenue in 2015, maybe even a couple hundred million dollars? I don’t want to put words in your mouth, but I am going to try.
Jose Mas: Well, if you take a step back, I think the most exciting part of the opportunity is the fact of its size and scope for everybody in the industry. I think everybody that’s in this industry that participates on that side is going to benefit it’s such a large opportunity . So we are obviously really excited about it. There is a number of different carriers that are talking about their plans for the next couple of years. So the answer Andy is yes we do expect to participate. I think it is premature to put numbers to it but it’s obviously we are comfortable in saying it’s a big opportunity and its size and a scale. And one that at least for our segment of that business which is pretty small and dramatically moves the needle for them.
Andrew Kaplowitz - Barclays Capital: Okay. So I would ask you another big picture question unfortunately. So also I know it’s early but in the news over the last couple of days has been talk of consolidation amongst some of your big customers. How do you look at that Jose, what’s the risk there that these guys would consolidate a little bit their CapEx plans overtime? And I know they do different things. So I am confident that you still would have a lot of work, but maybe you could comment on potential consolidation amongst some of your big customers?
Jose Mas: Well, obviously AT&T’s our biggest customer DIRECTV bounces between being our second or third largest customer and I think that’s really long for a question. Look I mean, there are both customers that we have, we think our excellent relationships with. We have demonstrated over the years, our ability to grow with both customers, it’s a very different skill set that they perform today. So it’s I think if you thought about what could potentially happen to DIRECTV over the last couple of years. There has been so many rumors, so many different articles and announcements overtime. I really almost can envision and better partner, there was ever a merger of companies than those two for us because of the relationships that we have at both companies.
Andrew Kaplowitz - Barclays Capital: Got it. Okay. Well, thank you, Jose.
Jose Mas: Thanks Andy.
Operator: Our next question comes from Tahira Afzal.
Tahira Afzal - KeyBanc Capital Markets: Hi, Marc it is certain to take me off the Christmas card, so I will try to keep it to two questions.
Marc Lewis: Alright Tahira.
Tahira Afzal - KeyBanc Capital Markets: Thanks. So, the first one is really in regards to your earnings trajectory. Jose, can you talk a bit about the visibility you have on that ramp on the wind side for the second half, which is important versus the last earnings call?
Jose Mas: Look, I think when it comes to Power Gen in our wind business, we feel really good, we’ve been feeling really good for a long time. Everything that we feel that we’re working on and have isn’t necessarily in backlog which was part of the commentary that we made earlier. So, we feel great in terms of what we know we have and what we need to hit to hit our numbers. So we really don’t have a lot of concerns there, it’s a bit swing from last year, things just started off really well. I think we’re pleased with the amount of activity and work that we’re actually already starting to book for 2015. So, we’re starting to feel much better about that year as well. So, I think we’ve got a great two year outlook in that business and don’t have a lot of concerns. In summary, if we look at the year, we haven’t really changed our views on Q3 and Q4 a lot. We think that revenues are going to kind of be where we expected them to be, margins are going to kind of be where we expected them. First half is coming in a little bit softer than what we probably thought six months ago, partly due to the weather in Q1. The wireless business is especially with not so much with AT&T, but with Sprint it is taking a little bit longer and I think it’s going to push out, which is more into the second half of the year. So, we feel great about the second half. We feel good about what we’ve guided for the first half of the year, you blended in and it slightly reduces our full year EBITDA rate from where it was. But we’re feeling great about the year.
Tahira Afzal - KeyBanc Capital Markets: All right. And then the second question is more just on industry dynamics. Over the past week or so we’ve had some of your larger E&C bid, talk about how it’s getting bigger on the wireless side of the business and the pipeline side of the business. And so any comment over there would have? And then, yesterday Berkshire announced that they will be acquiring a stake of [AzerBank] the big transmission entity in Canada. I know you’ve been looking to get bigger in Canada, could your relationship with Berkshire potentially help you there?
Jose Mas: So on the first question, for a long time, we’ve been penetrating markets and really kind of creating big market share in areas where others weren’t looking. And I think we did a really good job at that for a long time or we are kind of flattered that people think that we’re in good in our businesses, if somebody’s big companies want to get into what we’re doing. With that said, we think our competitive position in those markets is at a point where, we’re happy to see income because we think we’re going to do very well in those markets regardless we’re not really worried about who might or might not be entering any particular market and our competitive advantage in those markets. As it relates to your second question we obviously have a really good relationship of with now Berkshire Hathaway. We’ve done a lot of work for them. It’s obviously a big announcement, we’ve talked over the course of the last I guess number of quarters of our interest to continue to grow our presence in Canada. It is an important market for us both on the pipeline side and the transmission market. We have got plans in place on how we can get bigger and continue to expand in that marketplace and hopefully as the next couple of quarters will allow, will be able to demonstrate and talk about that.
Tahira Afzal - KeyBanc Capital Markets: Thank you very much.
Jose Mas: Thank you Tahira. 
Operator: Alex Rygiel of FBR Capital Markets has our next question.
Alex Rygiel - FBR Capital Markets: Jose congratulations to you and your team on a great quarter.
Jose Mas: Thank you Alex.
Alex Rygiel - FBR Capital Markets: Could you do me a favor and expand a little bit upon the activities with your second largest wireless customer which I suspect is Sprint and maybe quantify the contract or identify geographically what part of the country this is going to cover and maybe be a little bit more specific in when activities will ramp up later this year?
Jose Mas: What I can say is obviously something we’ve been working on for a long time, something we probably expected to happen earlier in the year and for lots of reasons has been a little bit delayed. So we expect construction start to be a little bit delayed as well. We do expect that to ramp late in the second quarter. So we are seeing we will be mobilizing soon. There is not a lot more that I can say right now and unfortunately this has all happened relatively quickly in real-time so hopefully on our next call I can provide you with a lot more detail.
Alex Rygiel - FBR Capital Markets: Okay. And then secondly, as it relates to pipeline opportunity specifically in Mexico obviously a very large E&C contract recently announced the los Romanos award how do you view competition in Mexico and some of those bigger projects and how MasTec can fit or play in that market?
Jose Mas: Look what’s interesting is their announcement was for a piece of los Romanos is for the southern piece. los Romanos is obviously a very big and well publicized project in Mexico. But what’s interesting is there a number of projects that are of similar size, scope and scale that are going to be happening a large number actually and one that the current infrastructure we think in country can support. So it opens the door for all kinds of contractors to take advantage of that. We think it’s a great opportunity for us, it’s one that we’re actively engaged in. What I think is important about the announcement that was made was the size and scale of what you’re going to see in Mexico, I think you’re going to see a lot of those. I think we’re going to have the opportunity to compete on a number of those and we feel real good about the ability that we have to win some of those.
Alex Rygiel - FBR Capital Markets: Thank you very much.
Jose Mas: Thanks Alex.
Operator: Noelle Dilts of Stifel has our next question.
Noelle Dilts - Stifel: Thanks, good morning.
Jose Mas: Good morning, Noelle.
Noelle Dilts - Stifel: It was nice to see the strong $97 million contribution from acquired operations in oil and gas with that entirely big country. And then given that strong start has that changed your full year expectation at all for the division? And you kind of reference that you’re making some progress on maybe getting into the long haul work in Canada, do you think, you can do that organically or is that still a market where you feel you have to make an acquisition?
Jose Mas: So they obviously had a good quarter. They have been performing well, we’ve been saying all along that we’re really excited about not just big country, but the Canadian market in general. They are a great company with the great team and we are proud to have them. We expect them to have a very good year. It was the bulk of our growth and in the oil and gas from the acquisitive perspective. As it pretends to long haul, it’s not what we’re doing today, it’s not the market, we’re generating revenues on, but obviously it’s a piece that we’ve talked about in the past something that we do want to get into, it’s we’re trying as hard as we can to do that organically and I think we can achieve it organically. If the right opportunity came along, we would definitely consider it. But I think at this point, we are looking to expand in that area organically.
Noelle Dilts - Stifel: Okay. And then second, just given your continued investment in training tower crews, can you talk a bit about the size of your tower funding, [workforce] stay, where you stand in terms of self-perform, and your goal in terms of self-perform work?
Jose Mas: Well, our big task today is we have to fuel the 212 crews that we committed to our largest customer, we’re well on our way of doing that. At some point in the second quarter we’ll probably be almost halfway there. Obviously it creates a strain or we are spending a lot of upfront money to train and get those crews ready and outfit them and get them ready to start production. So we really think we are going to see the benefit of that over time towards the second half of ‘14 and obviously into 2015 it should be -- it should provide for very good returns. So we are excited about it, we are excited about what it means. Again for us, this is more strategic than just one contract or one customer. We are extremely bullish about what tower climbing means to the industry and the importance of having strong tower climbing capabilities because the way the industry is moving with a lot of maintenance, it’s going to end up with tower tops. And we just think long-term, the importance of tower crews is critical to the success of wireless construction companies. And our goal is to be the biggest tower crew operator in the country. We think we’re well on our way of being there. And we think it’s going to pay off for us really well long-term.
Noelle Dilts - Stifel: Great, thank you.
Operator: Our next question comes from Jason Wangler of Wunderlich Securities.
Jason Wangler - Wunderlich Securities: Good morning, guys. Just curious on the pipeline business, as you talk about 2015 and then 2018. Are you still seeing kind of the expectations of us hearing more and more about those awards as we go throughout this year and into ‘15, or what are you thinking as far as that?
Jose Mas: Well the good thing is we’ve got good visibility, we know where the projects are, we know who the customers are. So, whether the awards happen in late ‘14 or early ‘15, it’s consistent with what we’ve been saying for a long time and it’s still our expectation.
Jason Wangler - Wunderlich Securities: Okay. And George, if I could ask you just as far as the converts, obviously, we’re coming up on the first tranche, but could you maybe talk about the idea of where debt markets are at, and obviously you have the revolver of potentially buying those in cash and adding debt, or is that on the table or where you are thinking as far as that going forward?
George Pita: Well, the first tranche that’s coming up, there is about -- the $115 million of converts that come due in June. Those effectively will be at this point sold with the principal value in cash and the premium value in shares. And at this point, we’re past the timing to make the decision and that’s effectively been made. So, that’s the way the first chunk will be at. As far as the amounts that mature in December, that’s the amounts that we’re evaluating. And as I said in my remarks, depending on stock price, depending on our CapEx spend and most importantly depending on our M&A type activity, we have the option to treat -- settle those shares either all cash, all stock or some combination thereof, and that’s what we’ll continue to evaluate as the time comes near.
Jason Wangler - Wunderlich Securities: I appreciate it. Thanks guys.
Jose Mas: Thank you.
Operator: Our next question comes from Vishal Shah of Deutsche Bank.
Vishal Shah - Deutsche Bank: Yes, hi. Thanks for taking my question. Can you hear me?
Jose Mas: Yes, Vishal. How are you?
Vishal Shah - Deutsche Bank: Hi, good. How are you? Just wanted to talk to you about the wind business. I know you said 2014, second half weighted; but how should we think about 2015 in light of some of the same issues that you may end up facing with the PTC expiration and you mentioned in your comments that you would have solid visibility in 2015. Can you just provide some more color on what kind of visibility you have, what the activity levels are right now. And whether you can get back to the profitability levels that you have seen in the past?
George Pita: Well, we think ‘15 is going to be a really good year in that business. The way that tax credits are working this time around, you actually have until the end of ‘15 to construct. So there are number of projects that are going to be built ‘14 but there is a number of projects that also going to be built in 2015. So we’ve actually been quite surprised with the backlog that we’ve been generating and creating for 2015 projects. So, it gives us a lot of comfort and visibility into 2015. It’s still obviously very early, so I don’t know that we can give a full year outlook yet, but we’re feeling really good. What happens beyond ‘15, we’ve said for a long time that one of the most important things for us in that business is to continue to diversify, we spent a lot of energy and a lot of the revenues that we generated last year, we’re on really other types of projects outside of wind, we had mix success with that, we learned a lot from it, we’ve been a lot more selective, we have picked up some recent projects that aren’t just wind related as well. So as we look beyond ‘15, we need to have a lot more diversification in the business, we know that, we’re working on it. But the good thing is, we’ve got a lot of runway because the next two years from a wind perspective, we’re -- we think we operate really well, looks really promising.
Vishal Shah - Deutsche Bank: That’s helpful. Then your competitor yesterday on the call said that they expect a lot of business in both the transmission and pipeline segment over the next couple of months. I’m just wondering what kind of activity you are seeing in those two areas and is it mostly U.S. Canada, can you maybe talk about the level of activity you are seeing in transmission and on gas.
Jose Mas: Look, I think we’ve been very consistent, we’re going to see unprecedented levels of activity from ‘15 to 2018 I think it’s going to be as good as it’s ever been. We think those awards start happening very late in ‘14 early in ‘15 there is a lot going on. They’re both very healthy markets and markets that obviously we’re very pleased to participate in.
Vishal Shah - Deutsche Bank: That’s helpful. Thank you.
Jose Mas : Thank you, Vishal.
Operator: Dan Mannes of Avondale has the next question.
Dan Mannes - Avondale Partners: Hi, good morning everyone.
Jose Mas: Hey good morning Dan.
Dan Mannes - Avondale Partners: First, follow-up question. You have obviously laid out the case for a big ramp of T&D, power gen, and wireless for the back half of the year. Can you remind us your expectations on oil and gas in terms of your ability to grow year over year, particularly against tough comps? And secondly, do you still expect Enbridge to be your biggest customer in oil and gas through the balance of the year?
Jose Mas: So all along we’ve said that in 2014 it’s going to be a tough comp in oil and gas versus ‘13 we were an early beneficiary of some of the longhaul pipeline construction projects that happen. With that said we still expect growth in our oil and gas business, not the growth levels that we’ve seen in the last couple of years, but we do expect some moderate growth over ‘13 that view has not changed, it’s exactly where we’ve been for a while. In reference to Enbridge, we expect them to be a top 3 customers for the balance of the year. They’ve been from anywhere from first to third in the last few quarters and we kind of expect them to stay there and we do expect them to be the biggest customer within the oil and gas segment. 
Dan Mannes - Avondale Partners: Got it. And then one other question, really on the wireline side. If you can contrast this at all with, maybe the Verizon [fiber] build-out, which is I guess the closest thing I can remember. Can you contrast the scope of the opportunity and then how meaningful that was to you during that period and maybe give us a feeling for how that could play out?
Jose Mas: Well, you got to go back right to the late 90s, early 2000, which is one fiber the home first started. When you’ve got a lot of different players out there today that are talking about 1 gigabit some which have existing networks some that don’t. So they are very different build out depending on where you stand in the industry, because of that, because you have some new entrance that don’t necessarily have an existing, really don’t have any existing assets on ground, the work for them is much more considerable than you would for an existing carrier. There is a lot of work for both, but obviously more when you have nothing. So I think the size and scope of the opportunities for the industry relative to the early 2000s and what they’re talking about going forward I think it’s much bigger going forward because of that fact.
Dan Mannes - Avondale Partners: Okay. Thanks.
Jose Mas: Thanks Dan.
Operator: Our next question comes from Will Gabrielski of Stephens Investments.
Will Gabrielski - Stephens Investments: Thanks. Good morning, guys.
Jose Mas: Hey, good morning.
Will Gabrielski - Stephens Investments: Can you talk about Mexico a little bit more? Do you need a local partner in Mexico or do you think you can go it alone?
Jose Mas: Well, I don’t think you can go into a country and not have local participation. What local participation means is it in form of the partner, in form of subcontractors I think it various. So I think, the opportunities there are competitive positioning and the way we think we position to ourselves as we think is really strong and we’ll make that determination probably on a project-by-project basis.
Will Gabrielski - Stephens Investments: Is your conviction on those margins increasing and what the potential for backlog growth is in that business from where it is right now?
Jose Mas: Well, we’ve been saying for quarters now that. If you look at our last six or seven quarters, we have had quarters as high as 17% margins in the oil and gas segment, which we achieved in the second quarter of last year and actually in one quarter in 2012. Last year we finished at about 13% for that segment. We expect the second half of the year to be at those levels, the first half is going to be a little bit lighter, so we will probably on a full year basis this year, looking somewhere between 12.5% and 13%, but we have also said as we look longer term in that market in that segment, there is no question that margins have a lot of room for improvement. Some of the reason that you get the higher margins in a particular quarter has all to do with utilization and as there is more work and competitors get full and there is more work available at better prices, we feel very confident that overtime, our margins will increase in that segment, and I don’t think we are the only one saying that. So I think the visibility in that is really good, so I do expect that.
Will Gabrielski - Stephens Investments: Could you just touch, I was actually asking specific to T&D, but that was very helpful, to the electric transmission business?
Jose Mas: I thought you are talking about oil and gas.
Will Gabrielski - Stephens Investments: But that was helpful, so I appreciate it.
Jose Mas: Okay, I mean T&D is the same thing right, as we grow our big project business and we continue to ramp in that business margins, we expect margins to improve, we have said last year we had a very strong second half of the year, we expect to have a very good year this year, we have been talking about getting back approaching 2012 levels and we have no change in view there.
Will Gabrielski - Stephens Investments: Okay, thank you.
Jose Mas: Thanks.
Operator: William Bremer of Maxim Group has the next question.
William Bremer - Maxim Group: Good morning, gentlemen.
Jose Mas: Hey, good morning, Bill.
William Bremer - Maxim Group: All right, let’s go, let’s stay with -- let’s go back to pipeline a little bit, here. Can you give us a little more color on an update, what you are seeing on the shale side and then, of course, go into mainline there? The integrity work that you are currently doing, and then finally, my final question is can you give us an update on how you are preparing for what we are seeing as a huge downstream market primarily in the Gulf region, over the next couple years?
Jose Mas: Sure. So, the shale business is very strong, a lot of activity, we think it’s really ramping right now. First quarter was tough relative to shale, a lot of the shale markets were probably more affected by weather. If you look at our year-over-year comp, it’s probably the place where we had the biggest drop in revenues in the first quarter was shale related, when you compared to 2013 Q1 and 2014 Q1, with that said, it’s a great market, a lot of good activity and we expect it to be a really good year. Our mainline business as we’ve said, we were probably an early beneficiary of what was going on there, we’ve got a lot of work, lot of working coming, we think we’re going to do really well there, our integrity business is doing well and growing. And as it relates to the Gulf, really as you know we don’t have a big presence there, we’re paying a lot of attention to the market, we think it’s a very viable market and one that overtime we need to participate in. But really don’t have anything to publicly say yet.
William Bremer - Maxim Group: Can you give us a sense on the contracts you are doing on the integrity side?
Jose Mas: Well, we’re working for everything from the very large companies on large-diameter pipelines in terms of integrity all the way down to municipal type projects, where we’re working with distribution companies on integrity work and everything in between. So, it’s not a big chunk of our revenues, but it’s obviously one thing, it’s a lot of publicity, it’s a good long-term market. I still think there need to be some legislation and government mandates around that in terms of really pushing and taking that market to where it needs to go but one that obviously overtime will be a growing part of everyone’s pipeline business.
William Bremer - Maxim Group: Thank you.
Jose Mas: Thanks Bill.
Operator: Our next question will come from Adam Thalhimer, BB&T Capital Markets.
Adam Thalhimer - BB&T Capital Markets: Great thanks good morning guys.
Jose Mas: Good morning Adam.
Adam Thalhimer - BB&T Capital Markets: Hey Jose, in terms of the wireline cycle can you help us understand, I mean first of all what you see in terms of bidding now and how do this even play out. I mean will your customers be bidding out for stakes or maybe bidding out entire cities worth the work or will it be even smaller than that in terms of the project size?
Jose Mas: So Adam I think you are going to see a combination of everything. We are not going to get into discussing with what’s actually happen from an [RFP] perspective at any given point, but it’s a active market. And one that we think is going to accelerate in terms of activity. So lots of opportunities both short and long term and very active marketplace. So with all that said, there is a lot of -- everybody is going to do it a little bit differently, everybody is going to have different rules around which can and can’t say so we’re going to probably be very limited on expanding much further than the things we’ve already said.
Adam Thalhimer - BB&T Capital Markets: And how big is that end market for you today in terms of revenue and then what’s the plan, is it let’s get some bids and then we’ll start adding capacity and similar to our history will be bigger in that segment than we have them for the last 10 years or so?
Jose Mas: Well, today is less than 10% of revenues, historically it was much greater I think that we’ve got the capabilities in place to do it, I think we are really good at it. But obviously the opportunities for growth haven’t been there. I mean the reality is that that business is one that was highly impacted by subdivision growth as subdivisions were being built and plant was extended. There was a lot of work in 2008 crises we saw that dry up and revenues were reduced in that marketplace at a very high cliff. This is the first time that you have a sizable opportunity that can really turn the tide for those types businesses. So what it means for each and what it means -- obviously for the industry it means there is going to be a lot more work. And what it means for each company is going to be depending on their competitiveness and what they can provide and that’s what’s going to play out over the next couple of years.
Adam Thalhimer - BB&T Capital Markets: Okay. Thanks Jose.
Jose Mas: Thanks Adam.
Operator: Liam Burke of Janney Capital Markets has the next question.
Liam Burke - Janney Capital Markets: Thank you. Good morning Jose.
Jose Mas: Good morning Liam.
Liam Burke - Janney Capital Markets: Jose on the, with the ramp up of permanent crews and then you’re looking at the next large carrier heading again, what do the profits for margin profiles look like compared to your traditional project work in wireless?
Jose Mas: Well a couple of things, we said our margins and wireless over the course of the last few years have really improved. We were going to through tremendous growth with obviously impacted productivity as you add people and they’re agreeing you don’t get the amount of productivity you do that you get overtime in any facet of the business. So we’ve seen that and that’s part of the reason why we’ve been performing as well as we have and we have been increasing margins is because we have got more time under our belt. I think it’s no different with these crews that we’re putting on. At the end of the day this is a subset of the entire wireless work that we do so it’s not like we’re dramatically changing. We’re not going to be a total self performed company and we’re not going to be a total outsource company and we’ve never been. So it’s somewhere in the middle, we’re trying to manage that the best way that we can. But obviously it’s the sizable opportunity for us and overtime margins will improve. So we’ve got good margins in that business, but we’ve been saying for quarters that it’s one area whereas, we get a little more time under our belt, as the business matures margins will improve.
Liam Burke - Janney Capital Markets: Okay. And then on the security business, how do see that ramping, do you say anything meaningful in this year or is that going to be a 2015 and beyond that?
Jose Mas: Well, I mean it’s been ramping, right. We said today, we think it will approach a $100 million in ‘15 it will probably half of that in ‘14, it was probably half of that in ‘13. So it’s on a nice ramp trajectory right now.
Liam Burke - Janney Capital Markets: Great. Thanks Jose.
Jose Mas: Thanks Liam.
Operator: The final question comes from John Rogers of Davidson.
John Rogers - Davidson: I guess, Jose or George. In terms of the margins you’re talking about on the industrial business. Is that all wind at this point?
Jose Mas: John, it’s predominantly wind, it’s not a 100% wind, but a large majority of it is wind were last year a large majority was not wind. So there’s been a big shift in the type of work, we’re doing in that business year-over-year.
John Rogers - Davidson: And in the past Jose you’ve talked about some other opportunities with that segment other end markets. Any updates there that do you can about?
Jose Mas: Well, sure. Again, it’s not a 100% wind, the challenges that we had in 2013 as we were doing a lot of things that we have not done in the past and we didn’t perform as well in those as we should have, which is why we really struggled throughout 2013 that end utilization. So with the opportunities that we are seeing in ‘14 and ‘15, we only have so many resources. So we are really focused on the things that we do well, but recognizing during that period of time that the future when we think about ‘16 and beyond, it’s about being diversified. So I think we are taking a very -- in 2013 we were stuck because there wasn’t any wind. So we had no choice but to quickly try to diversify the business and get into a lot of things that we were not doing before. We made some mistakes here, we did some things that in a normal environment maybe we would not have done, we learned our lesson. So we are going to take the different approach which is we have what we think now is two years of runway to really diversify and build that, so we are being very selective on what we go after, we are learning a lot from that. And I think over the course of the next two years, you are going to see us get into some things that are not necessarily wind related and build into what we think is going to be a very solid business for ‘16 and beyond.
John Rogers - Davidson: Maybe (inaudible) I mean any specific end market that you can talk about at this point?
Jose Mas: Yes, I mean the specific end market is anything related to power generation. So it is gas fired plants, it is even oil and gas facilities work although we do a lot of that within our oil and gas segment, there is some things that that group does well and some things we are currently doing. So I think it’s a mix of power generation assets along with some facility type work on the oil and gas side.
John Rogers - Davidson: Okay, thank you very much. Congratulations.
Jose Mas: Thanks (inaudible).
Operator: There are no further questions at this time. I would like to turn the call back over to Jose Mas for any closing remarks.
Jose Mas: I just like to thank everybody for their continued interest in MasTec. And we look forward to updating you on our next quarterly call.